Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Koppers First Quarter 2024 Earnings Conference Call and Webcast. [Operator Instructions]. I will now turn the call over to Quynh McGuire. Please go ahead. 
Quynh McGuire: Thanks, and good morning. I'm Quynh McGuire, Vice President of Investor Relations. Welcome to our first quarter 2024 earnings conference call. We issued our press release earlier today. You may access it via our website at www.koppers.com. As indicated in our announcement, we have also posted materials to the Investor Relations page of our website that will be referenced in today's call. Consistent with our practice in prior quarterly conference calls, this is being broadcast live on our website, and a recording of this call will be available on our website for replay through August 3, 2024. At this time, I would like to direct your attention to our forward-looking disclosure statement seen on Slide 2. Certain comments made on this conference call may be characterized as forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve a number of assumptions, risks and uncertainties, including risks described in the cautionary statement included in our press release and in the company's filings with the Securities and Exchange Commission. 
 In light of the significant uncertainties inherent in the forward-looking statements included in the company's comments, you should not regard the inclusion of such information as a representation that its objectives, plans and projected results will be achieved. The company's actual results, performance or achievements may differ materially from those expressed in or implied by such forward-looking statements. The company assumes no obligation to update any forward-looking statements made during this call. References may also be made today to certain non-GAAP financial measures. The press release, which is available on our website also contains reconciliations of non-GAAP financial measures to the most directly comparable GAAP financial measures. Joining me for our call today are Leroy Ball, Chief Executive Officer of Koppers; and Jimmi Smith, Chief Financial Officer. I will now turn over the discussion to Leroy. 
Leroy M. Ball: Thank you, Quynh. Good morning, everyone. I'll start by saying the obvious, which is that despite best efforts from the Global Koppers team, our first quarter financial results were a disappointment. While we expect that adjusted EBITDA will be lower year-over-year and signaled that in February, we fell short of our forecast and the consensus estimate by about 5%. Now as expected, our Performance Chemicals business and our Roland Utility Products and Services business both showed strong year-over-year growth in sales and profitability. Those impressive gains, however, were more than negated by slumping CM&C markets, in particular, in North America. An unplanned outage at our facility in Stickney, Illinois caused by weather-related factors that contributed to higher costs early in the quarter was far from the only factor, but ultimately made the challenging market dynamics even more difficult to offset. Now in these sorts of situations, we typically get help elsewhere to mitigate difficulties that we're encountering in specific parts of our portfolio. And while some help did come in the form of slightly better-than-expected Q1 performance from our PC business that ended up getting washed away by a poorer-than-expected outcome from our railroad maintenance of way business. 
 Now as I'll talk about later in my commentary, I believe that 2024 will still be a strong step forward for Koppers in our quest to reach our 2025 financial commitments, and we are taking additional measures to improve our chances of finishing towards the high end of our revised guidance for this year. We will take this opportunity, however, where we seem to be facing more uncertainty than since the pandemic to temper our expectations slightly for the balance of this year. Now let's take a quick look at the headline numbers for the first quarter as seen on Slide 4. Consolidated sales totaled $497.6 million compared with $513.4 million in the prior year quarter. We generated adjusted EBITDA of $51.5 million compared with $61.5 million in the prior year quarter. Now as I mentioned, most of that drop was expected and factored into our projections, but we did finish about 5% off our internal projections. Those numbers work out to an adjusted EBITDA margin of 10.3% compared with 12% in the prior year quarter. We had diluted earnings per share of $0.59 compared with $1.19 in the prior year quarter, and adjusted earnings per share were $0.62 compared with $1.12 in the prior year quarter. 
 Moving to Slide 6. Now that shows some key results related to our Zero Harm 2.0 program to reenergize employee engagement at the front lines and accelerate our progress towards 0 incidents. First quarter saw a 16% increase in the number of leading activities over the prior year quarter. We've talked in the past about how injuries have a negative correlation to the leading activities. And so that as leading activities go up, injuries and incidents typically go down. And for the most part, we continue to see that as our recordable injury rate continues to trend once again to an all-time best mark. Now of our 45 facilities around the world, 34 operated accident-free in the first quarter with the following operations having 0 recordable incidents. Australasia CMC, Australasia PC, Europe CM&C and Europe Performance Chemicals. These safety efforts helped to reduce our overall recordable injury rate by 7% currently at its lowest ever rate through Q1. Now I'd like to turn it over to Chief Financial Officer, Jimmy Sue Smith, to talk with you about first quarter financials. 
Jimmi Smith: Thanks, Leroy. Earlier today, we issued a press release detailing our first quarter 2024 results. My comments this morning are based on that information. On Slide 8, we had consolidated first quarter sales of $498 million, down $16 million or 3.1% from the prior year quarter. By segment, REP sales increased $12 million or 5.6%. PC sales increased $3 million or 2.2%, while CM&C sales decreased $31 million or 20.2% from the prior year quarter. On Slide 9, adjusted EBITDA for the first quarter was $52 million, resulting in a 10.3% margin. BOSS segment, Brooks generated adjusted EBITDA of $18 million with a 7.9% margin. PC delivered adjusted EBITDA of $30 million and 19.9% margin, and CM&C reported adjusted EBITDA of $4 million with a 3.3% margin. On Slide 10, the RUPS business achieved record first quarter sales of $225 million compared to $213 million in the prior year quarter. This increase in sales can be attributed to $9.6 million of volume increases for crossties and a net $8.1 million of pricing increases across multiple markets, particularly for crossties and domestic utility pulp. These increases were partly offset by lower activity in our maintenance away businesses and a 4.2% volume decrease in our domestic utility pulp business, stemming from temporary customer overstock and budget realignment. 
 Market prices for untreated crossties are stable but remained relatively high. First quarter cross-type procurement was up 2% from the prior year quarter, and crosstie treatment was 7% higher. Adjusted EBITDA for RUPS $18 million compared with $16 million in the prior year quarter. Profitability increased due primarily to net sales price increases and $3.7 million from improved plant utilization. These gains were partly offset by $10.6 million of higher costs related to operating expenses, raw materials and SG&A expenses. Margins for our Thai business increased slightly this quarter, reflecting some price increases, but continue to significantly underperform our pole business. On Slide 11, our Performance Chemicals business delivered strong first quarter sales of $150 million compared to $147 million in the prior year quarter. This increase came as a result of volume increases of $6.8 million in the current year period, including a 6.1% volume increase in the Americas, primarily for our Kopper-based preservatives. These increases were partly offset by $3.3 million of lower prices in the Americas and Australasia, driven by lower raw material costs. Adjusted EBITDA for PC was $30 million for the quarter compared with $26 million in the prior year quarter. Profitability in this business benefited from volume increases, while the lower sales prices were offset by a decrease in raw material costs. 
 On Slide 12, you see our first quarter sales in Cement of $122 million compared with $153 million in the prior year quarter. This decline was caused by $28.6 million of lower sales prices across most products. This includes carbon pitch, where prices were down 24.6% globally, along with $11.5 million of lower volume of carbon pitch and carbon black feedstock. The decreases in carbon pitch prices and volumes were driven by reduced market demand in the current year period, partly offset by volume increases for talicynhydrod. Adjusted EBITDA for CM&C in the first quarter was $4 million compared with $19 million in the prior year quarter as a result of lower prices and volumes, combined with the weather-related January outage at our North American plant. These negatives were partly offset by $18.6 million in lower raw material costs in North America and Europe. Sequentially, the average pricing of major products is 2% lower and the average coal tar costs are 8% lower. Compared to the prior year quarter, the average pricing of major products was down 18%, while average coal tar costs are down 16%. 
 Slide 14 illustrates our continued balanced approach to capital allocation with $25.8 million of capital invested back into our business in the first quarter. Net capital expenditures for the year are forecast to be $80 million to $90 million. We continue to return capital to shareholders through a quarterly dividend of $0.07 per share and to focus on our net leverage with $820 million in net debt and approximately $340 million in available borrowings at March 31, 2024. This is a net leverage ratio of 3.3x as of March 31 and is indicative of where we expect to exit the year in the low. However, we do anticipate leverage to increase to the high 3s in the second and third quarters as a result of borrowings to complete the acquisition of Brown wood. We remain committed to our long-term target of 2 to 3x net leverage ratio and confident in our ability to grow and generate cash. 
 Slide 15 details the recent repricing and upside of our 7-year $397 million senior secured Term Loan B due April 10, 2030. This transaction reduced the interest rate margin applicable to the TLB by 50 basis points and removed the 10 basis point credit spread adjustment from the TLB pricing structure. In addition, the TLB was upsized at par by $100 million, increasing the principal balance to $497 million as of April 12, 2024. The Proceeds from the term loan B will be used for general corporate purposes and to reduce borrowings under our revolving credit facility, including the recent borrowings to fund the acquisition of Brown wood. We experienced strong market demand for our TLP and are pleased with the enhanced liquidity and financial flexibility this transaction provides the company. We spent $25.8 million net on capital expenditures in the first quarter as seen on Slide 16. Excluding cash proceeds, the total was $26.3 million. Of that, we spent $14.3 million on maintenance, $1.1 million on Zero Harm and $10.9 million on growth and productivity initiatives. By business segment, we spent $13.5 million on REP, $3.2 million on PC, and $7.9 million on CM&C, along with $1.7 million on corporate projects. 
 On Slide 18, as announced on May 2, our Board of Directors declared a quarterly cash dividend of $0.07 per share of Koppers common stock. This dividend will be paid on June 10 to shareholders of record as of the close of trading on May 24. At this planned quarterly dividend rate, subject to review by the Board of Directors, the annual dividend will be $0.28 per share for 2024, a 17% increase over the 2023 dividend. And with that, I'll turn it back over to Leroy. 
Leroy M. Ball: Thanks, Jimmi Sue. Let's take a quick look at some notable happenings. As seen on Slide 20, we issued our 2023 annual report and proxy statement, which are available on our Kopper's website. You can also access these materials using the QR codes as shown. As seen on Slide 21, we recently completed the acquisition of Brown Wood Preserving Company, bringing its assets into our UIP portfolio. This transaction enables us to increase our presence in existing markets and offers an attractive entry point to new geographic markets for our utility pole business, which we believe continues to have strong macro trends supporting growth potential for the foreseeable future. The integration of the Brown Wood team and related capabilities is well underway. We're very pleased to welcome them into the Koppers family. 
 Slide 22 shows the added capacity at our facility in Louisville, Louisiana. We now have a new poll pillar in Killen in place, increasing our piling and drying capacity to cost-effectively serve an underserved geographic market where we have historically lacked a presence. The Leesville site is close to sources of raw material. And once poles are peeled and dried, they're sent to our underutilized treatment facility in Summerville, Texas. Having this operation in place will improve our production efficiencies as well as expand our presence in new utility markets such as Texas. 
 Now under review of each of the businesses, and I'll start with Performance Chemicals on Page 24. Q1 for our PC business played out almost exactly as we had planned it heading into the year. We projected flat residential volumes for the year. And in Q1, they finished off by about 1%. As anticipated, we realized the annualization of new residential and industrial business in Q1 that will temper as the year progresses. Adding Brown Wood, as an internal customer will have some negative impacts on our year-over-year sales dollars and volume comparisons, but we still expect better year-over-year industrial business due to some customer additions in 2023. Even though the pole market seems to be taking a temporary breather from the frantic pace in 2023, which I'll touch upon when I cover UIP, the overall backdrop for the industrial markets remains strong and should underpin our expected continued growth in this market segment in 2024 and beyond. 
 From an operations standpoint, our new micronizing capacity has been completed and should begin its first production in May, which will help reduce operating costs in the back half of the year. On the raw material side, Kopper prices have taken a significant uptick in April and are up 17% thus far this year. This should not generally have an impact on our results this year as we're fully hedged for our 2024 requirements. However, it could complicate discussions for 2025 contract extensions as these higher costs will need to be passed on through the supply chain if they don't revert back to the price band in which they have fluctuated during 2023. And while we remain cautious on the demand outlook for the remainder of 2024, we're not adjusting our original expectations. If demand continues to be in line with our original expectations, we think we can generate at least a few million more in profitability above our original expectation for the year of $7 million and instead finished with EBITDA improvement of somewhere between $9 million to $11 million. 
 Now moving on to our Utility and Industrial Products business shown on Page 25, both in the U.S. as well as globally, Q1 produced record first quarter profitability, although only nominally higher than the record Q1 in 2023. Excluding our entry into the Texas market, lower volumes had an approximate 7% impact on sales for the first quarter. Now we were able to make that up with $2.6 million in price. Some of our first real sales into Texas and better cost management at the plants to bring results in for the quarter slightly ahead of last year. Contributing to the better cost was the new drying capacity that came online in December, which enabled us to take more capacity in-house. The second half of the 2.5 million cubic feet of drying capacity is scheduled to come online in Q2 and will help our cost position further. The volume drop we experienced in the first quarter was not broad-based, but isolated among a segment of our customer base that panic bought in 2023 as the hot infrastructure market and its various funding mechanisms set the industry off on a buying spree. Now for those that exhibited more patients, they're sitting on a normal inventory level, and we're seeing regular order patterns. But those that are worried about treating industry bottlenecks affecting their projects widen their net of supply to ensure they got everything they wanted and a little bit more. Now these customers are now sitting on higher inventories they need to work through. That situation has been made a little harder about projects that have been slower to get off the ground due in some cases, the delays in grant funding and higher interest rates. 
 Now whether it's a quarter or 2, demand levels will pick back up to where they were, and I believe that those with a strong network of assets like Koppers, we'll be in the best position to benefit. I want to continue to stress that the long-term fundamentals of this business remain strong due to the macro trends of aging infrastructure, grid hardening, broadband expansion, electrification and the expansion of renewable energy that will continue to drive a healthy demand for utility poles. Finally, on the UIP front. As I previously mentioned, we closed on Brown Wood on April 1 and have been familiarizing ourselves with their operations and customer base. This quarter, we'll be spent finishing some of their process projects and sorting out opportunities to redirect sales resources and open doors with new accounts. And while we expect this acquisition to contribute $15 million in EBITDA from a base business standpoint in 2025, meaning presynergies, we're conservatively modeling only $8 million into our 2024 results as we work to get that business fully integrated. 
 Now our Railroad Products and Services business is summarized on Page 26. Despite the rail business contributing to our year-over-year increase in profitability in RUPS, higher operating costs and a worse-than-expected first quarter from our maintenance of way business prevented them from having an even more positive impact on results. Part of the operating cost increase resulted from weather-related impacts, while other increases came from higher labor costs in the form of head count, rates and overtime. The increased labor costs were driven by the need to rebuild inventories up from historically low levels brought on by the railroads decisions to defer purchasing during the hot hardwood market of 2021 and 2022. Now we're still continuing to pay literally for the decisions made by certain customers that despite our best efforts, we could not influence. One of the fundamental flaws of the current contract model that needs to change, as a critical supplier, we need to provide ourselves better protections against the wins of railroad purchasing groups, which we will do through the next contract cycle, or else we'll have fundamentally different relationships. 
 At Koppers, we go to great pains to ensure that our customers receive top quality ties that will last for their expected life and provide a safe base for them to transport their goods. That comes at a cost. Certain railroads have understood the value of quality over price and have been willing to pay for it as demonstrated by their agreement to price increases, while also under contract to help us cover the historic inflationary cost increases all companies have seen over the past several years. Others have elected not to do so. As a result, we've revisited our business model to align it with our customers' true priorities. For some, that's quality and service. For others, it's pure price. To be clear, Koppers will not compromise safety or product quality, but we've probably been going too far to satisfy what the industry says it values, and we need to shift our focus and priorities to producing a product that's in line with what certain customers' behaviors say about what they really value, which is price. As you might be able to infer by my comments, even though we realized some pricing benefit in Q1 from adjustments that went into effect throughout last year, we still haven't been able to reach an agreement with all of our contracted customer base. So we're going to begin approaching things from the other side of the income statement and go hard at costs, which means that we won't be doing anything that isn't explicitly called for under our contracts. 
 In the meantime, we continue to explore other uses for our treating assets so that we can get back to earning our cost of capital on our investments if we can't figure out a way to make it work with certain real customers. As for time volumes, demand met expectations in Q1 and will still be better than 2023, although slightly less than original projections. Commercial demand remains as robust as it's been in many years and is still expected to be a strong contributor to 2024 results. Finally, our maintenance away business detracted from our Q1 improvement by over $1 million in EBITDA and will be a net negative to our year-over-year results for the remainder of the year, but to a lesser extent than what was seen in the first quarter. In February, we projected $12 million of year-over-year improvement for our Rail plus utility or RUPS business. Our current projections are being modified to a range of $10 million to $18 million of improvement in EBITDA from 2023. Now that range includes $8 million of net contribution from the Brown Wood acquisition, which would imply a $2 million to $10 million reduction of our base estimate, driven by lower projected sales volumes in the rail business combined with the localized excess inventory in the utility business. 
 Finally, on to the CMC business, which is summarized on Page 27. Despite what looks like a poor first quarter compared to last year's Q1, we actually only finished $3 million in EBITDA off of our expectations for global CM&C. And while Europe and Australia came in slightly better than expected in Q1, North America drove the negative variance. Even with higher talicanhydride volumes, which received a boost due to backfilling for another producer's outage, we endured higher plant costs due to weather-related unplanned downtime early in the year, higher raw material costs working their way through inventory and lower pitch volumes and plant throughput. And Pitch volumes and throughput will likely be an issue throughout the year, so we need to reduce cost to offset that headwind, which we're in the process of doing. We're projecting some raw material cost relief beginning in Q2, which will work its way through cost of goods over the remainder of the year, and we're working hard to see if we can reduce our raw material costs further. 
 We also expect a continued benefit from elevated salacanhydride volumes to last into the second quarter, which will provide at least a short-term benefit. For the remainder of 2024, given the Q1 shortfall and lack of end market visibility beyond the next quarter or 2, we're bringing our full year EBITDA expectations for global CM&C down to $5 million to $10 million below 2023 compared to our original projection earlier this year of EBITDA remaining flat for this segment. We believe that the aluminum markets in the U.S. have hit their trough and we will see improved demand sometime in the not-too-distant future. We just can't say exactly when. The recent momentum around tariffs on steel and aluminum will have a positive impact on our business as it helps drive more U.S. production of those materials. Longer term, Century Aluminum's announcement of their intention to build a new aluminum smelter in the U.S. is great news for U.S. manufacturing and a positive sign that there will always be a critical need for primary aluminum production in the U.S. and therefore, a need for copper's carbon-based products. 
 Moving to our 2024 guidance on Slide 29. We're maintaining consolidated sales growth of 4% to 5%. Up sales overall are projected to see $160 million in top line increase with contributions from Brown Wood and higher sales in RUPS, partially offset by a short-term pullback in utility volumes. PC sales are forecasted to be flat year-over-year and CM&C sales are estimated to decrease by $60 million due primarily to price and volume declines in carbon pitch, partially offset by volume increases in talicanhydride. Overall, our sales forecast for 2024 is approximately $2.25 billion compared with $2.15 billion in 2023. On Slide 30, we're now targeting a range of $265 million to $280 million in adjusted EBITDA for 2024, which includes $8 million from the Brown Wood acquisition. While we expect CM&C to show definite improvement for the remainder of this year, making up the first quarter shortfall will be difficult unless there is an uptick in our end markets before year-end. We're pursuing several initiatives for long-term improvement in CMC, but most will not materialize until 2025. All options for improving the CM&C business are on the table and decisions will be made in short order. On the positive side, we're projecting that our PC business will sustain its first quarter outperformance through the rest of the year and likely add to it. 
 On Slide 31, a strong contribution from operations, including the Brown Wood acquisition to adjusted EPS will be offset somewhat by depreciation and amortization and interest, which are both coming in a little higher than originally forecast. For the year, we expect to finish 2024 with a range of $4.10 to $4.60 per share with the upper end of that range representing a new high for Koppers. On Slide 32, we're reducing our capital spending estimate to a range of $80 million to $90 million in 2024 compared with $116 million in 2023 on a net basis. Required spending on maintenance and Zero Harm has been cut by $14 million from our beginning of year estimate and is now estimated to be $57 million, with approximately $23 million to $33 million dedicated to our growth and productivity projects. We're continuing to target operating cash flows of $150 million and uses of cash will also include our dividend and some share repurchases that we may do to offset share dilution. We're still preparing for the termination of our U.S. pension plan, which would result in a top-up contribution of approximately $25 million, but the majority of that is now expected to occur in the first quarter of 2025.
 Slide 33 shows the path to our goal of $315 million to $325 million in adjusted EBITDA by 2025, which reflect the contributions from the Brown Wood acquisition. I recognize that there are many moving parts to our business that sometimes make it difficult to fully understand our short-term prospects at any given moment, but I truly believe that our diversity is one of our most underappreciated strengths that we will continue to realize the benefits of as time goes on and that our 2025 goals remain squarely within our sites. Now I would like to open it up to questions. 
Operator: [Operator Instructions]. Our first question is from Liam Burke with B. Riley FBR. 
Liam Burke: Leroy, CMC, after you would resize the infrastructure had been a pretty consistent low single-digit grower, low to mid-teen EBITDA margin generator. And then, I guess, over the last 3 or 4 quarters, that EBITDA generation has fallen into the mid to low single digits. Has something changed in the business? Or is just the pricing on pitch just been so onerous that it's affected the margins here. 
Leroy M. Ball: Yes. So it's a good question. We operate now out of 3 regions, right, with 3 facilities. And so I'd say as it relates to, and this business in general, right, goes through its cycle as we talk about that 2022 was a situation that we knew was at the top end of the cycle, and we had foreshadowed that, that was not going to repeat in '23 and of course, it didn't. Australia and Europe are in solid places, right? They still go through their cycles, but they're in solid places. Now with that, they're not at the peaks of where they were at, but they're still generating good margins, good profitability, and there's not a lot of capital that has to go back into those businesses. So they're in good spots. North America is a different situation. And it's really not a pricing issue actually. We get some of the best pricing globally on our products coming out of the CM&C business in North America. The North American situation it's a volume issue and a cost issue. So when we restructured and went down to 1 facility in the U.S. and took down the 2 remaining, which we talked about, but we don't give a lot of play to since we went through a situation where we restructured our supply contracts as well. And if you will, reset pricing and how we were going to price the raw material that we were buying on a go-forward basis. 
 And what has happened over the course of time is the aluminum markets have contracted and run into a tougher situation from an overall demand standpoint here in the U.S., meaning that there's less demand today than there was. So while coal tar availability has also shrunk, it's put us in a situation where there's much less throughput coming through the plant today than there was 8 years ago and even 2 or 3 years ago. And so as that has fallen and we have pricing of raw materials that are elevated because our end market pricing is in a good spot. It's put the plant in a situation where it's having a tough time covering its fixed costs. And so we have been going through an assessment of what we can do to take fixed cost out and we're trying to work on the supply side to see what we can do around pricing and contracts as well going forward. But the situation is sense, it is North American-based. It's U.S.-based, and it is a cost is a cost situation or issue and demand to some extent. But that's such we're facing, and it's kind of accelerated here over the past probably 6 to 9 months. We had a raw material supplier that was down for a period of time last year, which caused us late in the year to bring over some higher cost material from overseas, which elevated our costs that we're still working through the system. And then we had a good customer of ours on the aluminum side who took capacity down at the end of last year. And so there was just more aluminum capacity that was coming out of the market. And so all of that has kind of worked its way into where the aluminum in North America currently sits. 
Liam Burke: Great. And then on PC, it looked like the industrial business was up, well, it was up 15% for the quarter, but you talked about moderation through the balance of the year that uses looked like it was on a steady upward trajectory. 
Leroy M. Ball: Yes. Yes. So what I mean by that is I think in my initial comments at the beginning of the year, and I still stand by them, I think we were thinking throughout the entire year, we'd see about an overall 5% to 6% uptick, I think, in industrial, which would include some of the annualization of new business that we took on last year. And so we brought business on throughout the year last year. So certainly, in the early part of the year, you're going to have higher variances, if you will, from new customers that might have been added a little later in the year, and that's going to pop the numbers up in the early going to levels like that 15% as the year goes on and we basically last the origination of our supply agreements with them, those variances will be much smaller, which will bring the number down as the year goes on. But we still expect that we'll be in that 5% to 6% overall increase range. 
Operator: The next question is from Gary Prestopino with Barrington Research. 
Gary Prestopino: You're talking about what you're doing on the railroad side, which you're pretty adamant about that if you didn't get these price increases, you were going to take some kind of drastic action. You're now attacking it from the cost side, which I guess I'd like to know what are you going to do differently now versus what you had done? And then with the entities that have accepted a price increase, is there a risk there that they'll come back to you and say, hey, you didn't increase prices to ex-customer why us? 
Leroy M. Ball: Yes. So I think there's always that risk. And look, we've had customers who have been great about understanding and working with us on this. All these relationships ebb and flow. And to be honest, a lot of them have been flow based upon where the pressure is coming, if you will, from an investor standpoint, right? So we all know going back 7, 8 years ago, the heavy push towards precision scheduled railroading, which really had a heavy emphasis on cost as well. And so I can tell you the relationships during those periods of time, in most cases, for the railroads who were going hard at that, we're not great. Some of those have turned around and are in better spots now. I guess really what I'm trying to say is, as we sit here today, there's a certain portion of our customer base that I think has recognized the value of having a healthy supplier who produces high-quality products and services them well. And for those, they've been willing to step up and say, we understand we've all gone through unprecedented times. And we understand that you might be contractually constricted in terms of what you can pass on to us, but we're willing to help you through this. And so for them, we're going to take a consistent approach as we probably have in the past. For those who have drawn a hard line just more or let's say, you know what, that's your problem. 
 Then in terms of what are we going to do differently? Well, that's going back to looking hard at what we're doing today that falls outside of the contract that cost us money, real money, and those are the things that we're going to quit doing, which will enable us to cut out a large swath of overtime that we're incurring. It will enable us to likely go down to less people in the plant because as we won't always be having to juggle things around those particular customer priorities. And there's things that we do for those customers that end up being in front of commercial business that we end up sacrificing, and I think the approach we're going to take there is different in which case we're going to prioritize, again, the business that we need to be able to make an acceptable profit. So we're going to be able to take out, we think, a good portion of cost is it going to be able to get us back to where we want entirely, no. But it will certainly, I think if nothing else in the message that if what you value truly is price, and that's what you care about most, then we're going to do everything we can to put our cost structure in line to the lowest cost or cross tie as possible. And it's up to them to decide whether the service that they're getting, the lesser service than what they're used to getting is worth that price or not. And we'll see where it goes. But it's going to be more of a pay as you go in terms of what you want. And then as we get to the end of, again, these contracts, we'll work on trying to get something in place that puts us in a much better position to work through the ups and downs of some of these markets. 
 One other example, Gary, I'll give you just and this is one that has hurt us pretty badly in different periods which is the green time procurement, right? And when we have to take the direction of our customer base in terms of sort of where we can be at or what they're willing to pay for the untreated crossties that go into our plants that ultimately feed the cylinders when they air dry. And in a stronger environment for hardwood when pricing is going up and they're reluctant to pay the price to get the ties that we need to keep a consistent flow through our plants. That doesn't have an impact on the front end of things so much. But when you draw inventories down to a certain level, you've got to get them built back up. And all of a sudden, you're killing your plants by just flooding them with ties everywhere. It increases the labor cost significantly. And there's no mechanism within the contracts to be able to charge any of that back. We eat it all. We eat it all. And that just can't happen. 
Operator: The last question today comes from Michael Mathison with Singular Research. 
Michael Mathison: I'd like to start with the Brown acquisition. Just some quick arithmetic. It looks to me like your utility pole volumes will increase by about 1/3. When the integration is complete, what do you foresee as the impact on RUPS margins overall? 
Leroy M. Ball: So it's a good question. It's a good question. Jimmy Sue, I'm going to defer to you to sort of take a first crack at this, and then I'll provide any supporting comments. 
Jimmi Smith: Sure. So in terms of the utility business margins, I think I would characterize it as the Brown acquisition margins were similar to the margins that we are experiencing in the utility space. So I don't think it will significantly impact the margins there. Your comment on volumes. Did you say you thought they were going to go down by 1/3? 
Michael Mathison: No, up by 1/3. 
Jimmi Smith: Up by 1/3. Okay. All right. So yes, I think once we sort through sort of integration and supply channels, I think the margins will be in the ballpark of where they have been for the last year or so. 
Michael Mathison: Looking at Performance Chemicals. In your release, you noted a little bit of pricing weakness despite a volume increase. How do you see pricing for the balance of the year? 
Leroy M. Ball: Well, pricing, we're more or less locked in for most of our pricing other than spot stuff. And so I don't expect much of an impact at all. And the dollars that we saw in the first quarter really nothing compared to some of the movements we've seen over the past few years. So it will have little to no effect, I think, in this year. And then, of course, we'll be coming up on renewals at the end of the year, and we'll see where that goes. But we're pretty much locked into pricing for all of our largest customers. And so you're not going to see much. Anything you see on the pricing thing is going to probably be more mix related than anything else. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to CEO, Leroy Ball, for any closing remarks. 
Leroy M. Ball: Thank you. I just again want to thank everybody for their support. As I mentioned at the top of the call. The first quarter financial results were not where we wanted them to be or expected them to be. We still think we have the opportunity to finish the year strong and actually finished the year hopefully towards the higher end of the range that we put out there right now. A lot of work is going on within the various businesses to improve them going forward. And we remain committed to our 2025 goals while we also shape the plan beyond that. So I appreciate everybody's interest in Koppers and your support, and thank you for that and look forward to catching up with you again next quarter. Thank you. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.